Operator: So thank you for standing by, everyone, and welcome to the PropertyGuru Group's Fourth Quarter and Full-Year 2023 Earnings Conference Call. Currently, all participants are in a listen-only mode. So a reminder, today's program will be recorded. If anyone objects, please disconnect now. Now let me introduce Mr. Nat Otis, Vice President of Investor Relations. Mr. Otis, please go ahead.
Nat Otis: Good morning and good evening. Welcome to PropertyGuru Group's fourth quarter and full-year 2023 earnings conference call. On the call today are Hari Krishnan, CEO and Managing Director; and Joe Dische, CFO. Before we get started, a few reminders. Firstly, our results are available in the earnings release that can be found in the Investors section of our website. Secondly, today's webcast is being recorded. A replay, along with a transcript, will also be available in the Investors section of our website. Thirdly, we will be making forward-looking statements, including, but not limited to, statements regarding our future results and expectations for the business. These statements are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to vary materially. Please refer to our earnings release and SEC filings for more information regarding risk factors. Forward-looking statements are based on current expectations, and the company is not obliged to update them except as required by law. Fourthly, this call will also contain non-IFRS financial measures. For a reconciliation of non-IFRS financial measures to the most directly comparable IFRS metric, please our earnings press release. Lastly, all dollar references are in Singapore dollars unless otherwise stated. With that, let me turn the call over to Hari.
Hari Krishnan: Thank you for joining us today for our fourth quarter and full-year 2023 earnings conference call. 2023 was a year in which PropertyGuru demonstrated strength and agility with double-digit revenue growth and double-digit adjusted EBITDA margin while navigating a challenging and unpredictable macroeconomic environment. These results underscore our strong execution and ability to focus investments against the backdrop of varying market conditions, especially in Malaysia and Vietnam. We remain confident in our ability to be the trusted adviser for our residential customers as they strive to achieve their homeownership goals and help our business customers unlock their true potential using PropertyGuru's data and technology solutions. Despite uneven market recoveries across the globe, Southeast Asia remains a dynamic region poised to expand and prosper with its property markets benefiting from growing middle classes, increasing urbanization and significant public and private investment in infrastructure. In Singapore, property market activity eased in 2023 as governmental cooling measures, higher interest rates and tight supply impacted buying cycles, creating greater competition between agents and translating into increased demand for our products. With inflation in check, supply is beginning to return to the market with close to 100,000 public and private units expected to be added between 2023 and 2025. Construction-related GDP was up almost 8% in 2023, which bodes well for the health of the property sector going forward. While overall GDP growth moderated in 2023, an improvement is expected in 2024. I would also like to highlight trends, like interest in properties in the outskirts of Singapore near newly constructed mass rapid transit or MRT stations and the continued demand for sustainable property development. As a result, Singapore continues to be a strong market for PropertyGuru as we enter 2024, demonstrating the value-add of our products even when transaction volumes decline. In Malaysia, housing affordability was a key issue in 2023, as higher interest rates, a reduction in the value of the ringgit and poor wage inflation weighed on consumer sentiment. Our consumer sentiment survey noted that 87% of respondents found price to be a deterrent to buying a home with 50% of them planning on renting instead. Malaysia's GDP is expected to increase marginally in 2024, with the government making significant or rather specific budget allocations for affordable housing projects, housing credits for low-income borrowers and incentives for developers to revive abandoned projects. Longer-term infrastructure spending should provide a solid boost to the market. The hugely important rapid transit system, or RTS, connecting the Southern Malaysian state of Johor with Singapore is two-thirds complete. This has already resulted in an encouraging increase in housing demand on the Malaysian side and will result in increased demand in Singapore as well. Insights from our proprietary data and intelligence tool, DataSense, confirm this trend, as the top residential projects in Malaysia based on demand are currently located in Johor. As we enter 2024, we see encouraging trends in Malaysia that could help bolster our business as the market regains momentum. 2023 was a challenging year for Vietnam. Property market activity was down substantially due to reduced credit availability and negative consumer sentiment, while the overall economy took a step back with 2023 GDP growth of 5% versus 8% in 2022. We continue to take a cautious approach in Vietnam and believe the market trajectory could improve in the second half of 2024 and in 2025 as economic output returns and supply chains reopen. Strong urbanization trends also continue in the country as housing new city dwellers continues to be a priority for the government. Reduced borrowing rates due to four interest rate cuts in 2023 and continued infrastructure investment should also help facilitate demand. Lastly, supply in the key cities of Hanoi and Ho Chi Minh City is also expected to improve in 2024. Vietnam remains one of our key marketplaces given its market dynamics and tremendous potential. We continue to actively restructure our operations and revise our sales strategy in preparation for market activity to return. I would like to now update you on the progress within our group. Our internal focus remains the same. We will continue to innovate, automate and leverage technology as we create value for our customers and help them make confident property decisions. Our confidence is based on our early adoption of generative AI and machine learning into the foundational competence of PropertyGuru's product strategy and operations. For instance, a third of our Singapore listings in the fourth quarter of 2023 used listing description generator, where we leverage generative AI to help our agents improve the quality, content and style of their listings. We also launched Listing Price Assistant in Singapore in the fourth quarter. Using machine learning, this assistant helps agents with an appropriate price for each property. The response has been promising with 17% of listings created in the quarter utilizing this tool. This solution increases data accuracy and consumer trust in our marketplace and greatly assist our agent customers, too. In the third quarter, we launched lead management to support agents by empowering them with insights on the quality of a lead such as demand index, area and property type. Adoption in Singapore has been a success. By the end of the fourth quarter, over 90% of active agents had used it at least once and 75% were repeat users. In the fourth quarter, we introduced lead management in Malaysia, where we are already seeing good traction with 67% of agents on property grew Malaysia and 55% of agents on iProperty actively using the product. We continue to invest in our data and software solutions business, leveraging data to build powerful analytical tools that help users identify valuable opportunities and make smarter investment decisions. In December 2023, we introduced the mall intelligence module in DataSense with commercial launch in Singapore in early 2024. This module will help agents, retailers, mall owners and investors make informed decisions with regards to their assets or new leases. The module uses our proprietary supply, demand and pricing insights, coupled with mobility and payments data from our partners. It provides footfall, dwell time, retention rate and spend data to better understand demographic and consumer trends in the relevant areas. In Malaysia, we are providing access to selected DataSense modules for our agents, who can now benefit from critical transaction pricing analytics as well as upgrade to explore insights from our proprietary first-party supply and demand data. In Vietnam and Thailand, we have launched Demand Analytics Pro, our DataSense module that helps developers, investors and agencies use market research, feasibility studies and other data to assist in the decision-making process. Our fintech business in Singapore continues to grow with over $6 billion worth of home loans having been brokered through year-end, an excellent sign of the growing trust and confidence that customers have placed in PropertyGuru as they look to secure home financing. With learnings from Singapore, we're now looking to serve the Malaysian market and have launched a home loan eligibility tool in the fourth quarter of 2023. The tool solves a key pain point by giving consumers an instant assessment of loan eligibility based on their debt servicing ratio, thereby reducing the likelihood of loan rejection. Lastly, earlier this week, we undertook a strategic rearchitecting of our organization to optimize our size and structure to reflect the market opportunity in 2024 and beyond. This decision impacted approximately 5% of our roles across offices as we focus the team on strategies central to our future growth. For employees who were impacted, I would like to thank you for your contributions to PropertyGuru and wish you the best in your future careers. As we enter 2024 and our third year of being a public company, I would like to say how proud I am of what our gurus have accomplished under challenging conditions. Going forward, we will continue to future-proof our business through focused investments to best leverage the dynamism of Southeast Asia and its property markets as we power communities to live, work and thrive in tomorrow cities. I will now hand the call over to Joe to walk you through our financials.
Joe Dische: Thanks, Hari. 2023 was a solid year for PropertyGuru as we delivered double-digit revenue growth and a double-digit adjusted EBITDA margin despite macro headwinds in two of our core markets. For the full-year 2023, revenue was up 11% to $150 million, and adjusted EBITDA was $19 million, reflecting a 13% margin. These results were especially impressive given challenging conditions in Vietnam and Malaysia. Excluding Vietnam, revenue was up 19% in 2023. In addition, incremental adjusted EBITDA in the year outpaced incremental revenue. Also of note, we had positive net cash flow for the full year. I would like to highlight the success of our cost control actions and operating leverage in 2023. We had significant margin expansion in Singapore, Malaysia and other Asia. And corporate expenses as a percentage of total revenue decreased from 39% in 2022 to 37% in 2023. In the end, we were able to exceed our adjusted EBITDA outlook for the full-year 2023 and the form at the midpoint of our updated full year revenue outlook. Revenue in the fourth quarter was up 4% from the prior year quarter, and adjusted EBITDA was $9 million for 22% margin. This was also the second quarter in a row of positive net income. Our results in 2023 demonstrate PropertyGuru's unwavering commitment to profitable growth even as we navigate market uncertainty. We continue to actively balance profitability and investment as we future-proof our platform while expanding adjusted EBITDA. Now for more details on our marketplace businesses. In Singapore, revenue was $23 million in the fourth quarter, up 23% from the prior year quarter, and our adjusted EBITDA increased to $17 million for a 75% margin. Increasing product adoption by our agents and active cost management helped us to deliver another strong quarter. Our Asian base grew to over 16,400 agents with a renewal rate of 81% for the full-year 2023. In 2023, our annual average revenue per agent, or ARPA, was almost $5,000, up 22% from 2022. This consistent growth in ARPA reflects our ability to help our agents establish strong profiles and differentiate themselves through technology, innovation and data. In Malaysia, revenue was $8 million, roughly flat with the fourth quarter of 2022, while our adjusted EBITDA increased to $4 million for 48% margin. Similar to last quarter, the Malaysian ringgit depreciated in comparison to the Singapore dollar. On a local currency basis, Malaysian revenue was up 5% in the quarter and 16% for the full-year 2023. Given overall macro market challenges, we continue to focus on expense management and structural optimization in preparation for Malaysia's property market to regain its momentum. Vietnam continues to be a challenge as the government works to restabilize the property market following anticorruption and credit accessibility issues, which evolved into consumer credit concerns in 2023. As a result, revenue was $5 million in the quarter, down 22% from the fourth quarter of 2022. The number of listings was down 26% in the quarter to 1.2 million, and the average revenue per listing, or ARPL, was up 3% from the fourth quarter of 2022. Adjusted EBITDA was $1 million in the quarter for an adjusted EBITDA margin of 13%. I would like to acknowledge our cost management actions in Vietnam, where we improved our adjusted EBITDA margin despite a significant drop in revenue. On the balance sheet, we ended the quarter with $306 million in cash and a net cash flow positive for the full-year 2023. I'd like to reiterate that despite challenging market conditions, PropertyGuru delivered double-digit revenue growth and double-digit adjusted EBITDA margin for the full-year 2023, a result that we are all proud of. In 2024, we will continue to operate to a selective hiring and focused investments mantra, understanding the importance that innovation and automation play in our ability to provide our customers with market-leading technology for their property decisions. We're introducing our full-year 2024 outlook this quarter. For revenue in 2024, we project between $165 million and $180 million, as we conservatively factor in a slow trajectory for recovery in Vietnam and ongoing macro uncertainty in Malaysia. For adjusted EBITDA, we project between $22 million and $26 million in 2024. Going forward, we are moving to a more sustainable level of profitability, powered by the future-proofing of our core business model and targeted investments that deliver long-term growth. I would like to thank all our gurus for their relentless hard work as we strengthen and transform our company and thank our customers for their continued support. I will now turn the call over for questions. Operator, we're ready for our first question.
Operator: So thank you, Joe. We'll take your questions now. [Operator Instructions] So our first question is going to come from Nick Jones.
Nick Jones: Nick Jones, Citizens JMP. Regarding the kind of workforce reduction of about 5% of the roles, should we expect that to kind of be the corresponding cost reduction in operating expenses of around kind of 5%? Or is there kind of a finer point you're able to put on that?
Joe Dische: Yes. Look, we're probably not in a position to sort of do a direct comparative. I think, it will definitely contribute to some saying there's obviously cost saving-wise, people costs are about circa 50% of our cost, and that's made up not only of direct employment costs, but other costs associated with training, et cetera. So I wouldn't say that, that saving is directly linear, but it definitely represents a significant saving into next year. And I think we also do intend to keep investing. So this is not really a question of a cost-cutting exercise per se, but it's more looking at our cost base, working out what's reasonable and then investing in the right places. So we are still hiring for critical roles and hiring for growth. It's more about rebasing. And I think you'll see many other businesses performing a similar action this year.
Nick Jones: Got it. And then, Hari, you listed off a bunch of really interesting solutions. So there's a listing description generator. There's a listing price assistant, lead management, mall intelligence module to demand analytics solutions. A lot of these are getting incubated. And in Singapore, how should we think about what it takes to get these rolled out into all of your markets? Is this really -- are you waiting to see maybe some of the economic situations improve in Vietnam and Malaysia before you kind of get more aggressive? Or I guess, just walk through what it takes to take a lot of these really interesting solutions to get these kind of rolled out more broadly?
Hari Krishnan: Thanks for the question. Well, first off, I'd say we're really excited that a lot of these products that we've been incubating for a while in-house are now coming out to the market. Customers are adopting them in a big way. In many cases, we start out in Singapore. As I mentioned in my remarks, many of them we've already introduced into Malaysia as well. In some cases, we've taken slightly specialized versions of these products, if you like, into Vietnam and Thailand. So I would say, actually, we are pushing the products into these markets well ahead of market recovery because what we're finding is as our customers are coming back online and as the markets gradually begin to open, they're expecting to see these kinds of products. And the rest of the agents who are sort of participating in the market and trying to make a living are very happy to use these products and get more efficient, get more intelligent and such. So I think you can expect to see us roll this out. I think the fact that we have a single code base, as I've mentioned on previous calls, allows us to be super quick about this. So it's more, as you correctly point out, our estimation of is the market ready for it or not. So lead management, we brought it down in Singapore first, had it for a full quarter or so, make sure it looked good in our biggest market. And then we rolled it out in Malaysia and already, you're seeing adoption on both our platforms in Malaysia. So I think you can expect to see us do this more and more. For our DataSense products, like mall intelligence, actually, Malaysia is perhaps our most important market. We have a lot of adoption of products over there. We obviously see utilization of that particular module in Singapore as well. But I think there, you will see it happen sort of concurrently in both and in some instances, actually start out in Malaysia first before it comes across the border to Singapore. So I think we'll be selective about this thing, but the goal is absolutely to get these products into as many customers' hands as possible.
Nick Jones: Great. Maybe one more if I can sneak one more in here. Vietnam and Malaysia continue to be more challenged. Could you elaborate on kind of which one is worse? And then given kind of the different countries you're in and different kind of political landscape, is there kind of a historical point in time or a way we could think about what the timeline to kind of a normalized recovery would be? I mean would you expect by '26, things to kind of be semi normal? Do some of these countries take longer to normalize? I guess just any color on how you and the team are thinking about recovery or normalization maybe? And if you've done any kind of historical work that you could kind of point us to, to help us understand maybe what it could look like?
Hari Krishnan: Yes, I'll be honest, I think one thing is because these are developing economies, the past is a very poor indicator of the future. But having said that, what we do look for is tangible actions and not just words. So I mentioned, I think each market are in sequence. In Malaysia, if you look at the launch of that RTS bridge, which is going to connect the Southern state of Johor with Singapore. That's actually the fact that it's reached two-third completion is a tangible real thing. Those aren't words. Those are real actions. Immediately, you see consumer demand spiking in Johor as well as in Singapore. So that's real. The same thing when you look at in Vietnam, roughly 200,000 people moved to Ho Chi Minh City in 2023 alone, right? So we've had north of 100,000 people moving to that city from the villages and towns over the last four or five years, pretty consistent other than COVID, of course. And I think when you see that happen, combined with the four interest rate cuts, they're building an infrastructure -- a significant infrastructure project they're working on this year is the very first metro line in Ho Chi Minh City. If that one gets greenlit, you're already beginning to see when it comes to commercial data coming out of that country, you're seeing demand in the CBD as well as the new CBD in Ho Chi Minh City. There are two CBDs. You're seeing demand and asking prices go up, which indicates that enterprises are going in, jobs are being created. So you're seeing job creation and you're seeing urbanization. Those are great indicators of essentially a large population moving in there, and they're going to have to find a home. So I think in Vietnam, we actually do believe it will be in the second half of this year. But having learned our lessons from last year, we are taking a more conservative approach to forecasting it. With Malaysia, I think you're going to see -- and I sort of touched upon it briefly, but we actually think there's going to be a little bit of a pivot from home buying to renting, which is not dissimilar to some other markets where affordability becomes a bit of an issue. But obviously, we have, our marketplace is support renting as well. So I think that’s something we’re tracking very closely.
Operator: Our next question, it's going to be Nelson Cheung.
Nelson Cheung: So regarding your revenue guidance range of $165 million to $180 million. So what do you think of, which one is the biggest downside risk that may drive the full year result towards the low end of the range that you can observe so far?
Joe Dische: Yes. So I think in terms of the specific numbers, I think Vietnam is a bit of the wildcard for us next year, and that's really driving the sort of, I guess, a slightly larger range than we might have done otherwise. To Hari's point, we believe that recovery is going to start in the second half, but we've been relatively conservative in our approach. But I would say, obviously, a worsening of that situation, however very unlikely that would be would obviously negatively impact the results for next year. That's probably the biggest aspect. I think on the Malaysian side, we are definitely seeing positive signs, and that's probably sort of less of a wildcard. And more generally, we see good stability coming from the Singapore market, which is the largest part of our revenue, where obviously, transaction volumes are a little off, but that's driving some strong competition between the agents and the adoption of some of the products, particularly some of the newer products that we've been delivering sort of recently.
Nelson Cheung: And would you like to share more about your investment strategy going into 2024? For example, you mentioned we will continue to invest in generative AI and also automation truth. So would that translate into some investment into CapEx, OpEx, especially the IT and the relevant expenses?
Hari Krishnan: So maybe I'll start off, and I'll have Joe add on to that. I think we will be investing significantly into internal automation, process automation, things like that as well as driving automation for our customers through some of the products I just mentioned, the generative AI driven products, machine learning-based products. So I think the fact that we were an early adopter of machine learning and generative AI, it’s already been a couple of years that we've been using these products. Our engineering teams have been using Copilot now for a while. We are already seeing some of the benefits of that. There's a greater comfort in our employees in being able to use these products. We do have specific projects identified internally as well to drive greater automation in various things. And I think you will see us continue to invest in that space. And some of it will be on the OpEx, some of it will be on the CapEx, but maybe Joe can elaborate further. You can expect to see us share more as we have tangible projects to share with you.
Joe Dische: Yes. I think numerically, you'll see CapEx tick up moderately into next year. To Hari's point, we unashamedly invest in technology. We're here to build an incredible business that has a very long future. And so we're investing to create the best products and service our customers and so we can grow strongly. We're also investing in data and fintech, continue to invest in those, which we see as a great potential for the future as well. So I think it's investment on many fronts, but that's really securing our future and our desire to keep growing the business on the top line for a significant period still to come.
Nelson Cheung: And the last question for me is regarding your capital allocation and also shareholder return policy and strategy. Just wondering because we are generating positive net cash flow this year. So I wonder if there's any plan on potential shareholder return packages like share buybacks, et cetera?
Joe Dische: I think for us, that’s not something we’ve actively considered to date. We obviously raised the money when we listed with the purpose of pursuing an M&A strategy. We do believe that we operate in some of the most exciting markets on earth, and we’re very excited about the opportunities that are there. It’s obviously taking us some time to find the right opportunities to invest in. We’re quite cautious, and we’ve been sort of pursuing things along the slides of data and fintech. And obviously, we’ve also made an investment in Sendhelper as well. But we are looking sort of more widely outside of our core market as well for exciting opportunities. So I think for now, we are pursuing our M&A strategy, but we’ll obviously closely monitor the market and reappraise as time goes on.
Operator: [Operator Instructions] The next question is going to be Fawne Jiang from Benchmark.
Fawne Jiang : A few quick ones here. First, I wanted to follow-up on your fintech business. I think, Hari, you mentioned that Singapore continue to do fairly well, and you are considering to move that service to Malaysian market. I guess, how should we think about your key target, whether it's for 2024 or in the next couple of years? Any specific, I would say, loan portfolio or customer penetration you're looking for? Just want to get a sense where you're moving the business and what's the potential impact to your P&L?
Hari Krishnan: Yes. And maybe I'll start again and Joe can add on. As I shared, I think fintech, the fact that we've now brokered over $6 billion worth of home loans here in Singapore is a significant milestone. We continue to grow our market share in that space, working very closely with banks and getting more and more sort of really strong positive feedback from consumers. And so that's really good. We have launched in Malaysia with a home loan eligibility tool to start with. And we've already started a couple of pilots with some banks in that market. We will definitely expand significantly in Malaysia through this year in 2024. So I'll share more on future calls. The focus right now is these two markets. We are in conversations in Vietnam, but that product has not launched there. What is the right structure for that market, et cetera, things we are assessing. But for now, the focus for that business is very much in terms of increasing its market share here in Singapore and penetration, and therefore, driving more profitability out of that business and then obviously, establishing a presence in Malaysia which is going to be sort of mission one for 2024.
Fawne Jiang : Understood. Second question is really a bit more on follow-up on your guidance. Joe, you did mention that you factor fairly conservative condition in Vietnam and Malaysia. I just wondered in terms of your guidance range, are we looking at another potentially down quarter -- sorry, down year for Vietnam in 2024 as well as Malaysia or potentially, we're looking for growth?
Joe Dische: Yes. Look, we don't provide guidance on each individual market. I think if you look sort of numerically in order to get that level of growth, you're going to need to see a much better performance from Vietnam this year. So I think just from the pure numbers, that's sort of fairly implicit. But we've seen relatively moderate improvement in, in the second half. And I mean prior to COVID and prior to these challenges, the business in Vietnam was growing very strong. It's a fantastic brand. I think as we've said in a number of occasions, it's one of our most exciting markets. It's got a large population who are becoming increasingly sort of, I guess, financially able and taking debt in order to finance transactions and with a real interest in property and property ownership, and also an incredibly digital market as well, who really like to use services that we provide. So I think, we still expect to see some growth in summary, but we're also very excited about the future in Vietnam when the market picks up again and gets back into a strong growth profile.
Fawne Jiang: Understood. Lastly, on your gen AI effort, it seems like you're really making effort to infuse gen AI into your ecosystem. I just wonder like from a longer-term perspective, structurally, you do see that as more incremental revenue driver, so basically more improving your existing online market services? Or you do see as like a real driver on the data side as a meaningful, I think, revenue source? And in addition, any thoughts on cost savings along the way?
Hari Krishnan: Yes, I think it's a great question. I think the way we look at generative AI is a couple of ways. I think one, obviously, it's a fantastic driver of efficiency. So both internally, we use Copilot, as mentioned within the engineering team. We've been using it for a long time. But in addition to that, we are using it for internal workforce sort of productivity tools across the entire organization. We're beginning to experiment with that throughout. We're also beginning to -- but when we look externally to your point on incremental revenue and such, I think our first goal there is to solve real customer problems, which potentially we can solve some new ones in more creative fashions. For example, I talked about the pricing tool. Pricing accuracy just improves the quality of the marketplace. I wouldn't really look at that as an incremental revenue driver, but it definitely improves the health. And so it's a hygiene factor, if you like. And it's much harder to do in our market than, for example, the U.S., where everything is standardized and data is commoditized. Here data is not. There are no MLSs. We are essentially a de factor MLS. We were creating listings directly on us. And so making sure that as accurate as possible really increases trust. The other thing I'd say is when you look at generative AI solutions that are now -- we're now begin to experiment with some even within DataSense, it's really about driving engagement in our products. Can we get our agents, our REITs or investors, valuers to use our products more because they are more attractive, they perhaps are more fun to work with and they enable productivity improvements for our customers. So I think for now, we're not looking at specific ways to generate money off of it directly, but we are finding it as both an efficiency driver and better engagement in our customer-facing tools.
Nat Otis : Okay. Any other questions? Now is the -- here. Any other questions, do the raise hand. I'll wait a couple of seconds to see. If we don't have any, then we will conclude the call. So it looks like we're done with questions. So I'll turn the call back over to Hari for any closing remarks.
Hari Krishnan: Thank you. We look forward to sharing our continued progress with you next quarter. Until then, thank you all for joining us today. Goodbye.
Operator: So the conference call has ended. Thanks for attending. You may now disconnect.